Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.: 
Operator: 00:05 Ladies and gentlemen, thank you for standing by. Good morning and welcome to the MICT's Third Quarter twenty twenty one Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available approximately one hour after the end of the call through February fifteenth twenty twenty two. 00:54 I would now like to turn the call over to Scott Gordon, President of CORE IR, the company's Investor Relations firm. Please go ahead, sir.
Scott Gordon: 01:02 Thank you, Tom. Good morning, everyone, and thank you for joining us for the MICT's Third Quarter twenty twenty one Financial Results and Corporate Update Conference Call. Joining us today from MICTs are Darren Mercer, Chief Executive Officer of MICT; and Moran Amran, Controller. 01:19 During this call management will be making forward-looking statements, including statements that address MICTs expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in MICT's most recently filed Annual Reports on Form 10-K, quarterly report on Form 10-Q, Form 8-K filed with the SEC today and MICTs investor release that accompanies this call, particularly the cautionary statements in it. The conference of this call contains time-sensitive information that is accurate only as of today, November fifteenth, twenty twenty one. Except as required by law, MICTs disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. 02:15 It is now my pleasure to turn the call over to Darren Mercer, Chief Executive Officer. Darren. Please go ahead.
Darren Mercer: 02:22 Thank you, Scottt, and thank you all for joining us on the call and the webcast today. We continue to deliver strong growth with third quarter revenue up more than fifty percent over the second quarter of twenty twenty one. We're extremely pleased with the success of our insurance business where our revenues for this third quarter were nearly equivalent to those of the entire first half of twenty twenty one. 02:47 Our third quarter revenues equate to a run rate of seventy five million dollars per annum, which is primarily from our B2B insurance business. Put our growth into context, our insurance vertical has generated revenue of eighteen point five million dollars, representing growth of more than fifty percent over Q2, which in turn was more than fifty percent up from Q1. 03:12 We are particularly excited by this performance as we are still in the very early stages of the insurance business developments. There is a huge potential for continued strong growth underpinned by the nationwide license for China that we acquired in February and enhanced by our recent acquisition of licenses for one hundred and thirty major cities and provinces covering most of develop China. This valuable portfolio of licenses allows us to process insurance business on a nearly nationwide basis, and as such, we are well positioned to develop relationships into B2B2C partnerships, which will be followed by expansion into direct B2C sales channels. Thus enabling us to cross-sell a wide range of products with the aim of driving growth and generating higher margins. 04:05 In addition we are in ongoing discussions with a number of nationwide organizations that if successful will enable us to launch several more speciality insurance products to be offered on a nationwide basis. Whilst we expect recent pressures on commission levels in the automotive insurance sector to impacts on our short-term rates of growth, this should largely be offset by the strong underlying performance of our platform and our revenue growth from other insurance products. 04:38 The combination of a rapidly expanding insure database, which is currently estimated to be more than zero point five million, together with a strong portfolio of licenses with nationwide coverage and a growing range of insurance products places us in an exceptionally strong position and allows us to benefit from the considerable strategic advantages that we have gained. This as well as our migration towards higher margin products sold through significantly higher margin channels gives the board considerable confidence as we move towards year-end and into twenty twenty two. 05:18 Moving onto our stock trading platform. On September fifteenth we successfully launched our mobile stock trading app on our proprietary Magpie Securities platform, which was the culmination of nearly a year of intensive technological developments. 05:35 We have managed our rollout plan carefully with an initial focus on the test and learn marketing strategy, allowing us to obtain valuable data and customer feedback, so that we could make appropriate improvements and refinements. Notwithstanding the narrow scope of our initial marketing plan, the number of new client registrations and app downloads to date has been extremely promising. Furthermore, the technological performance and functionality of the Magpie app has been enhanced considerably since launch, as we work towards our aim of delivering a superior market-leading products. 06:13 Having observed the marked progress achieved to date, we believes it is now the right time for a significant marketing push as we look to gain a sizeable market share. In dealing with the market speculation surrounding the introduction of new regulation with regard to onboarding clients who resident in mainland China, it is important to note that Magpie has always been fully compliant with all applicable rules and regulations and as such we believe these latest changes are not of concern. 06:49 That said, out apps upcoming ability to onboard overseas clients with effect from end of November fits with our strategy to target Chinese diaspora initially in Southeast Asia, and before then expanding into other territories. To that end, we have been exploring opportunities to acquire the necessary licenses to operate in relevant jurisdictions and we will keep the market appraised as and when there are meaningful developments. 07:18 With regard to our commodities platform, which, as previously disclosed, has been ready to launch since early September, we had signed a tripartite agreement to launch in partnership with one of China’s leading commodity exchanges. As a result of the extreme volatility in oil and gas prices since September, together with the Chinese government’s introduction of new regulation which is in progress, our partner to whom we are reliant, wishes to seek clarification around this regulation. In this regard, both we and our partners are currently monitoring the situation awaiting the finalization of the regulatory framework and improvements in market conditions prior to proceeding with the launch. 08:02 It is important to know, however, that none of our published financial forecasts include revenue from our commodity business, and therefore any elongation of timelines does not adversely impact either the revenues or earnings figures contained in such projections. 08:19 Moving on, I am pleased to say that we continue to have a strong balance sheet with approximately one hundred and five million dollars of cash as of the end of Q3, which provides the resources needed to grow our different verticals and execute on our business plan. 08:35 Our strong balance sheet will also assist us in making strategic acquisitions as and when we identify suitable value accretive opportunities. And finally, we recently filed a preliminary proxy statement that included a proposal to amend our charter to expand our authorized share count from two hundred and fifty million shares, four hundred and twenty five million shares. I would like to take this opportunity to urge our shareholders to approve this measure as it is key and a key component to our growth strategy. 09:15 While we have, as I mentioned, a very strong cash position, a strong share count is equally as essentials were company's growth to conduct acquisitions more easily, many of which necessarily include some components for the transaction and stock. Rather than viewing this increased share count as a potential dilution, I believe it best viewed as a mechanism by which we can better provide our current shareholders with increased value as it enables us to more easily grow as we seek new acquisition opportunities to strategically expand our Fintech offerings. 09:53 It is for this reason that I recommend you approve this notion in the proxy. Thank you for your ongoing support of our company's growth. 10:02 I would now like to turn the call over to Moran Amran for a financial review of the quarter. Thank you.
Moran Amran: 10:10 Thank you, Darren. Revenue in the third quarter was eighteen point five million dollars versus twelve point three million dollars and zero during the quarter ended September thirty twenty twenty. The quarter-on-quarter increase versus the second quarter with primarily attributed to continued growth in B2B insurances, with growth by more than fifty percent. 10:32 Gross profit in the third quarter twenty twenty one was two point seven million dollars, up from zero point seven million dollars in the previous quarter. Gross margin improved significantly in the third quarter to fourteen point eight percent from five point four percent in the second quarter as the company reduce its reliance on commission rebates and price incentives to attract new brokers and customers. 10:57 R&D expenditure in the third quarter was zero point four million dollars compared to zero point three nine million dollars in the second quarter as the company continued to invest in the development of its technology. Selling and marketing expense amounted to one point five million dollars in the third quarter, up marginally from one point four million dollars in the second quarter. 11:22 General and administrative expense raise significantly in the third quarter to six point six million dollars from fourteen point nine million dollars in the second quarter. The third quarter general and administrative expense included more than one point six million dollars of non-cash costs. 11:40 Net loss for the third quarter was five point three million dollars, represent a significant improvement over the net loss for the second quarter of eighteen point four million dollars. Finally, as of September thirty, twenty twenty one, the cash position was approximately one hundred and five million dollars. 12:00 Back to you Darren.
Darren Mercer: 12:04 Thank you, Moran. We are very proud and excited by the progress we have made in Q3 where the foundations and key ingredients for our continued growth have been significantly strengthened, both our insurance and stock trading business are in the nascent stage of development, but already achieving impressive growth in customer registrations, and the company as a whole is generating substantial revenues. 12:31 Whilst we will continue to maintain and watch on market conditions for the launch of the commodity platform, our drive to achieve material growth across all of our Fintech verticals, both organically and by making strategic acquisitions is a huge confidence that we are well positioned to deliver a considerable uplift in shareholder value over the coming quarters and beyond. 12:56 Continued strength of our balance sheet with one hundred and five million dollars in cash will allow us to continue to execute on our growth strategy. That said, we strongly encourage our shareholders to vote in favor of the motion to expand our authorized share count from two hundred and fifth to four hundred and twenty five million shares, thereby further strengthening our position in terms of making future acquisitions. 13:21 I mentioned last quarter that we are just getting started. And now that our licenses are in place on the insurance business and the stock trading app is launched, I truly believe we will continue to see significant growth, and I hope you share my excitement regarding the future of MICT. We thank you for your continued support and we look forward to sharing news of our progress with you as it develops. Thank you. 13:45 I will now turn the call over to the operator for our Q&A session.
Operator: 13:51 We'll now begin the question-and-answer session.  And the first question comes from Brian Kinstlinger with Alliance Global Partners. Please go ahead.
Brian Kinstlinger: 14:14 Again, great results and thanks for taking my questions. I want to focus on the insurance business with the expansion into one hundred and thirty cities and provinces from just twenty five last you reported. When do you expect to get to a one million or even two million user profiles into that end, what point do you see the push into B2C, is that 2Q twenty twenty two, to maybe take us through that timeline?
Darren Mercer: 14:44 Yes, of course, Brian, and thank you for your comments. We said at the end of Q3, we had around zero point five million already underlying insurees on the platform. What this increase in license portfolio enables us is to, we have a nationwide license and let's start with that. The nationwide license we acquired in February is great, but what you need to have to be able to process business locally is a local license. And so the increase in two hundred and thirty major town, cities and provincial licenses across all develop China means we can now for the first time offer a truly nationwide offering online using our nationwide license and that allows us for the first time to really move forward with the partners on our B2B2C channels that we've been in discussions with, because clearly they are nationwide organizations with very significant number basis and numbers of customers, in the hundreds of millions and it also allows us to really push forward on the B2C. 15:49 In terms of registrations, it reahed several half a million. The target internally was close to one million as we come by year and we expect to see significant growth on that as well next year. In terms of reliance on B2C, the beauty we have in our structure, I don't want to give the secret of our sauce away, but with that significant database, with the significant databases we will have access to as and when we sign the B2B2C relationships now start seeing very significant impact on the margin that we get from selling that insurance products. So rather than getting the lion share  to out B2B partner we start keeping the majority of that, and that gives us lots of competitive pricing advantages and it gives us a lots of scope for significant growth.
Brian Kinstlinger: 16:44 Great My second question is also in the insurance business. To date, is still most of your insurance revenue related to the auto insurance where margins are a little bit lower? And then, when do you expect other lines of business will start to become more meaningful? And do you have to do anything strategically to make that happen by start selling other lines?
Darren Mercer: 17:07 That's a very fair question. The majority of the revenues at the moment are from the automotive sector, which is a sector which continues to help pricing pressures, which is why I'm even more delighted with our results. But the important strategy we have is that, when somebody comes and buys our motor insurance policy, whether it's there on our database, we now have the option, the ability to cross-sell to that person. And we can cross-sell much higher margin products, be them in life, be them in medical, in property insurance. 17:41 Additionally, because as you know most of us in the world have more than one insurance policy, we don't just have car insurance. And they are significantly higher margin products. Secondly, what we expect the impact of that, particularly towards the end of -- more in twenty twenty two is, you will see the dominance of automotive insurance, which is the majority at the moment that will be diminished of the percentage.
Brian Kinstlinger: 18:12 I guess my question is, do you have the people, do you have the agents, do you have whatever it takes and you can already offer that or do you have to do anything strategically to move into other lines.
Darren Mercer: 18:24 No, we don't. In fact, the most strategic thing we did was get the one hundred and thirty -- increase our license portfolio to one hundred and thirty. That means big insurers who struggle for nationwide reach, true nationwide concentrated reach are talking to us about different products, are talking to as we're offering. And so we are taking new products into new areas of China that they hadn't had before, which is perhaps more competitive, which perhaps offer additional benefits. And so the strategic play in all of this was increasing our license portfolio which we've now achieved.
Brian Kinstlinger: 18:59 Okay. I've got a couple related to the online trading platform, where I'm guessing given all the regulatory noise related to the two -- especially two market share leaders, you probably tempered market spending in late September, maybe even early October as you laid it all play out. So I guess my question is, when do you start the marketing blitz as I suspect some consumers in Hong Kong are evaluating their options and alternative trading platforms.
Darren Mercer: 19:28 Yes. I think we said in our statement, we're about to have a big blitz at the end of November. As you said, there were lots of -- there was also speculation and rumor in the marketplace, particularly with some of our competitors being mentioned in newspapers in China about any discretion they may or may not have made. The great thing -- from that perspective is that, we're very confident we have made any discussion at all. 19:58 In terms of the marketing and where we go, the app has improved significantly since launch in the middle of September, the functionality is much greater. The performance, the speed of it is going to be better and what we did during that period of uncertainty was, we -- as you quite rightly pointed out, we tempted the marketing spend and we then tried a number of test and learn strategies to see which elements of marketing work better. We think we have a very good handle on that now. And now with the performance of the app being so much better and now as we -- we've seen this new regulatory frameworks that are being introduced to Mainland China, now is the time for us for that push. And by the end of this month, we will start seeing quite a bit of evidence to that study phase. And we're very hopeful --
Brian Kinstlinger: 20:49 Just form a -- from a standpoint of expenses and sales and marketing can you give us a sense for what the impact of the P&L will be, either on a monthly or quarterly basis?
Darren Mercer: 21:04 The  marketing. I don't want -- I have to be careful of what I say, as you understand, but what I will -- the way to answer that question I think is to say that, the spend on marketing has a correlation with number of registered users we get and the anticipated spend that we expect those customers to make on our app. And so they are very closely linked.
Brian Kinstlinger: 21:31 Last question, it's just kind of a point of clarification, you've talked about being fully compliant. So I just want to make sure today that investors and myself understand, today you're focused on the online trading app for consumers that have Hong Kong -- either Hong Kong citizens but they have a Hong Kong bank account. You're not focused on someone who is just in Mainland China with a Mainland China bank account, is that accurate?
Darren Mercer: 22:03 It is accurate, and that's what the regulation states. And -- but what is also important for people to understand, is two million people in Hong Kong trade on these kind of apps. So it's a very significant market, basically.
Brian Kinstlinger: 22:21 Thanks for taking my questions.
Darren Mercer: 22:23 Thank you very much.
Operator: 22:30 Before continuing with questions from those dialed in over the phone, I'd like to turn the call back over to Scott Gordon.
Scott Gordon: 22:38 Thank you, Tom. Company has received a number of increase by email and we're going to post those and then proceed with our Q&A. First question. Darren, you currently have around one hundred and twenty one million shares outstanding. Why did the company feel it necessary to increase the authorized share count from two fifty million to four twenty five million, bearing in mind the current share price should we be concerned about an imminent significant dilution.
Darren Mercer: 23:12 Well, when considering the increase in our charts, which is not an easy task. And I'll come on to that in a second. There are a couple of things that people need to understand. We have two fifty million shares authorized to issue of around one hundred and twenty one outstanding today. In this calculation we have to include the number of warrants out there and options. So that takes us to circa one hundred and eighty five million shares with headroom of further sixty five million. 23:40 This increase given the complexity of going through this part of the process, it's something you don't want to have to repeat and repeat and repeat. And so we have taken the opportunity when we formulated this proposal to create sufficient headroom for the next number of years and that then allows us to pursue our acquisition strategy to support the rest of the business. 24:07 And I think the other thing -- the other thing we did say last week, I think in finishing the answer to this questioner is, it's important to note, the increase in authorized shares doesn't create any dilution at all, because they haven't been issued. And shareholders, I wanted to be sure that we will only ever consider the issue of new shares for transaction that was significantly value accretive.
Scott Gordon: 24:38 Thank you. Your non-GAAP loss has reduced significantly quarter-on-quarter, is it realistic to expect a move into non-GAAP profitability in quarter four twenty twenty one?
Darren Mercer: 24:50 I can't answer that. So I don't like to answer this Scott.
Scott Gordon: 24:56 The company's number of registered customers in its insurance business is impressive at zero point five million, what is the approximate registrations between the three quarters of the year and how do you expect registrations to grow in Q4 twenty twenty two.
Darren Mercer: 25:13 Yes, it's very fair question, but I think I've covered most of that in an answer to Brian's question earlier on the call.
Scott Gordon: 25:22 Okay. You had mentioned that your recent acquisitions -- recent acquisition of regional licenses will enable you to launch B2B2C sales channel and then B2C, when do you expect each of these forms of sales channels to come online?
Darren Mercer: 25:42 Well, again, I think I've covered much of that in the question that Brian asked earlier. All I -- the important point perhaps just to reiterate from the answer I gave to Brian is, the increased number of license we have now gives a true penetrate footprint most of developed China. And now the opportunities for moving into B2B2C and B2C are somewhat closer, because we can facilitate and support that business nationwide for the first time.
Scott Gordon: 26:24 Great. In your upcoming B2B2C insurance business, can you give an idea of the types of organization you are partnering with? Also with your B2C business, will you be launching your own insurance comparison website and app?
Darren Mercer: 26:42 Well, I'll do that in reverse order. B2C, we have developed our own app which will be launched soon at the appropriate time, bearing in mind, we have to consider where we are in our B2B2C relationships and watch. We expect those -- what we commit the company to deliver in support of insurance channels. We are talking to organizations through our insurance on specialty products, we are talking to other organizations about moor target specific types of products and we are clearly talking to a number of channels about partnering them on their website as an insurance partners. So quite a broad spectrum really.
Scott Gordon: 27:35 Your margins in Q3 have increased sharply compared to Q2 margins, do you expect such margins to be maintained in your B2B insurance business in Q4 and beyond? And what do you expect your gross margins to be from B2B2C business and B2C?
Darren Mercer: 27:57 Well, I'm not going to answer that in specifics, because I think it's a little sensitive. So just to give the questions in respect and some bit of announcing and some flavor, I think what we should understand is that, as I said to Brian, and announce early on today is that, the net margin to us from B2B to B2C is significantly higher. And direct to B2C is multiples higher. So it has a very -- as soon we can drive the B2B2C business and the B2C business, you will see significant margin enhancement.
Scott Gordon: 28:45 Thank you. It felt like a major milestone seeing the launch of Magpie, according to certain people there were a large number of glitches with the app at launch and they complained it was slow, which I'm pleased to say it was in contrast with my own very positive experience, where I personally felt the app was well than it looks faster than many of the other apps I've used, what are your own views on the performance and speed of Magpie app, both at launch and now?
Darren Mercer: 29:15 I think there's a couple of things to bear in mind here. The service, we have to support our app, a lot of people where we had a number of complaints on speed, we're really dialing in from a long away and our apps are basis out of in and around Hong Kong. Our service, I should say. That said, we have improved the speed of the app considerably, considerably. And I think in my humble opinion, I believe it's at worse as good as fast as anybody app and perhaps, you may think it's  opinion. I think it's certainly quicker than most people's out there, not everybody's out there. And I think the performance that we have, the functionality on the app, dark mode came in over the weekend, which I think is a significant enhancement. We expect for those overseas clients who wanted it to on board, we will now have -- that will start to be in place in the next week or so -- week or two or perhaps really. 30:16 And as a result of all of that, I feel now is the time and again as I said to Brian in an earlier question today. Now is the time for the next blitz on the marketing push.
Scott Gordon: 30:29 Thank you. Have the new user registrations on Magpie and the number of transacting customers met your expectation?
Darren Mercer: 30:41Yes. As I said, in a very limited marketing  in terms of the reasons I again mentioned earlier, but we are extremely, extremely encouraged with the results of downloads and registrations as well. And what we do in the target marketing that we have done on the test and learn strategy we have had in a number of different ways. It gives us so much of valuable data on. So the things that work, you dial-up and those that don't dial down. And so when we go into the next blitz, hopefully we can -- you get a more effective dollar for marketing spend.
Scott Gordon: 31:20 Thank you. The share prices of FUTU and Tiger have fallen significantly over the past few months due to concerns around whether they are compliant with the relevant rules and regulations in China, including rules relating to licenses and also the new client data regulations, is MICT compliant with all the relevant rules and does this give Magpie a competitive advantage over Futu, Tiger and others?
Darren Mercer: 31:46 I'm going to be very careful on what I say here. I think the important thing to get across to everybody is that, in being compliance as we have been and continue to be, it's certainly our opinion. We have important pile of any regulations. And we're very proud of the level of compliance and corporate governance and the team have done an exceptional job in Hong Kong, an exceptional job than I take my hats off to them in that regard. 32:11 Does it give us a competitive advantage. I'm really not going to go there and talk about other companies. I think the important thing to get across is that, we have built a world-class app, improving and getting better all of the time. We have a much better target specific marketing strategy going forward. And I'm sure that -- well, I know, because I get sold all the time all sorts of people about the efforts we have in our marketing don't see a lot of evidence in the next couple of weeks as we do our next splits. And we're hopeful of the results and the outcome.
Scott Gordon: 32:48 Thank you. It is disappointing that the launch of your commodity platform has been delayed. Can you elaborate on the reasons for the delay and can the management have the vertical use this time to further improve its prospects?
Darren Mercer: 33:02 Well, just as I've said, we're very compliant in the sole trading app as we are in our insurance business. We're equally as compliance in anything we do and that include the commodities trading. Where we are seeing changes in regulation right now? And we -- as we have announced some time ago, partnering with very significant organization and the feeling of the partnership is that, whilst we have the change in regulation and particularly given the volatility we have seen in the oil and gas prices, I'd like to say, unprecedented but it's once in a blue moon sort of stuff that -- which can sit back and watch what goes on and then we will make a call as and when things become more clear. But again, there hasn't been in any of the analyst forecasts out there and is still not in that. So we are watching brief at the moment.
Scott Gordon: 34:00 Thank you. Our final question. The company's share prices continue to perform poorly since last results statement and your market cap is barely above the value of the cash on your balance sheet, it would appear that the share price is under the control of charters and market makers with the high levels of off market trading, surely you cannot be happy with this quarter of the company doing to tackle the shooters and achieve a higher share price.
Darren Mercer: 34:30 Okay. Nobody is happy of where the share price is. Clearly what can we do about it. I think the important thing that we have to do as a company is what we've been doing and that is continue to execute and continue to deliver. We build a world-class license trading app from -- built from scratch an insurance business, which has now got a run rate of seventy five billion dollars or so annually. We have nationwide license coverage’s on our insurance business in hundred and thirty city, provincial and city and town licenses, and you can see from the results, which we are exceptionally proud of. We're well positioned there. We have a shareholding in this  listed company that has a value and we have one hundred and five million dollars on the bank. 35:19 I should give you -- my focus is to keep delivering. Keep delivering shareholder value. And the price will sort itself out I hope.
Scott Gordon: 35:30 Excellent. That concludes the number of inquiries questions that we received. I'll pass the call back to Tom, our operator.
Operator: 35:39 We still have time for questions from those dialed in on the phone. There is currently nobody in our question queue.  We have a question from Will Robertson, please go ahead.
Unidentified Analyst: 36:25 Hi there. Just a point of clarification, at the moment Magpi is focused on Hong Kong users, will there be a point in time when Magpi expects to accept users from Mainland China?
Darren Mercer: 36:48 Not until the regulation is clarified. We work within the remit of the licensing which we have in Hong Kong. And right now, we are not committed to state Mainland Chinese clients on. So we will not do so. We will focus as we have said in the report today, there are two million Hong Kong people, Hong Kong residents who trade on stock trading app, it's a very marketplace for us. And if we can get a sizable portion of that, our company will do exceptionally well. Our focus thereafter is on the Chinese Dysport in other jurisdictions, be them in Southeast Asia or other parts of the world. Want the company is looking to do is increase its license portfolio so that we can market in those appropriate areas.
Unidentified Analyst: 37:53 Thank you.
Operator: 38:09 This concludes our question-and-answer session. I'd now like to turn the conference back over to Darren Mercer for any closing remarks.
Darren Mercer: 38:22 Thanks. I'd like to thank everybody for taking time today to join the call and for your ongoing support. And I look forward to updating you on our year-end results conference call and providing further progress updates. Thank you all very much.
Operator: 38:40 The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.